Operator: Greetings, and welcome to the Vertex Energy Incorporated First Quarter 2013 Financial Results. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. (Operator Instructions) As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Ben Cowart, Chairman and CEO. Thank you. Mr. Cowart, you may begin.
Ben Cowart: Thank you, operator. Good morning. Joining me today on this call is Mr. Chris Carlson, our Chief Financial Officer; Mr. Matt Lieb, our Chief Operating Officer; and Marlon Nurse, our Investor Relations Consultant at Porter, LeVay & Rose. Before we begin the business portion of this call and on behalf of the company, I'd like to inform you that the company expects to make forward-looking statements during today's call. Statements including words such as believe, anticipate, or expect, and statements in the future tense are forward-looking statements. These statements involve known and unknown risks and uncertainties and are based on management's current views and assumptions regarding future events and operating performance. A number of factors could cause the company's actual future results to differ materially from its current expectations. Thank you, everyone, for joining the call with us for our first quarter 2013 earnings call for Vertex Energy. This call coincides with today's filings of our 10-K for the quarter ending March 31, 2013. I want to start off by giving you a few highlights from our Q1, and then I'll turn the call over to Chris Carlson, our CFO, so that he can walk you through the first quarter financial performance. Following Chris' presentation, I'll provide some thoughts on our plans for the remainder of year and I'll take some closing remarks and questions. We'll then open the line for further questions as we go forward. The first quarter of this year showed an improvement in every area consolidated, every consolidated – every consolidated area relative to Q4 2012 as expected results from our recent acquisition have begun to take hold. Here are few quick highlights that we will touch on in more detail during this call. Our gross profit increased by approximately 20% relative to the same quarter last year this improvement is related to the fact that we are now able to source and increase the amount of feedstock for TCEP we are on collection network rather than having to purchases bulk of the raw material from third parties. Overall volumes products sold, also a very important matrix for our business, as it illustrates our reach into the market. That overall product saw increase about 10% for first quarter versus first quarter 2012. This increase has sole product volumes larger as a result of continued throughput improvements at TCEP. Now they can combine with our increased ability to source feedstock to support the business. Our overall per barrel margin increased by 9% relative to the same quarter last year. 2002 our improved gross profit overall and illustrates our ability to drive down feedstock cost across our business. Before we discuss our outlook for the remainder 2013, I'd like to first turn the call over to our CFO Chris Carlson, for more detailed review of our financial performance during Q1 2013. Chris.
Chris Carlson: Thank you, Ben. For more information, please refer to our press release issued today, our latest Form 10-Q for the fiscal quarter ending March 31, 2013, as well as our other filings made with the Securities and Exchange Commission. I also want to mention before we proceed that all financial numbers are prepared, unless noted, in accordance with Generally Accepted Accounting Principles. Note that the acquisition Ben referenced was completed in September and we have integrated these new operations into our business. I'd like to now discuss our results. Revenues, for the quarter ended March 31, 2013, we reported consolidated revenue of $33.3 million compared to $34.8 million in Q1 2012. This represents a 5% revenue decrease. The revenue decrease was due primarily to decreased commodity prices that were somewhat offset by 10% increase and volumes that been mentioned earlier. You can find more detailed information on the various pricing benchmarks that are most applicable to our business in our 10-Q that was filed today. We generated revenue from 2 existing operating divisions, Black Oil and Refining and Marketing. Historically, our TCEP results have been reported within the Refining and Marketing division. With the acquisition of the Vertex Acquisition Sub, the company is now reporting TCEP results within the Black Oil division. The figures I reference on this call take into account the change in reporting so that last year’ s Q1 figures represents an appropriate comparison to this year’s Q1 figures. Our Black Oil division revenue for Q1 2013 was $24.4 million as compared to $24.2 million in the first quarter of last year. This increase in Black Oil revenue was attributable to a 20% increase in volume, which was offset by a decrease in commodity prices. During the quarter, we saw increased production from TCEP as well as increased volume sales to third-party rerefiners and fuel oil blenders. TCEP, once again, there is a business unit within Black Oil division generated $15.2 million in revenue for Q1 2013 versus $16 million in Q1 2012. This 5% year-over-year decrease was driven by lower commodity prices. The Refining and Marketing division produced revenue of $8.8 million in the first quarter versus $10.7 million in Q1 2012. This represents a decrease over the prior year of 17%. This decrease was primarily attributable to a 15% reduction in volume, which resulted largely from planned operational turnarounds at two of our largest feedstock suppliers. Gross margin, gross profit increased in the first quarter to $3.74 million compared to $2.89 million during the same period. This 20% increase is primarily attributed to our ability to source feedstock at a lower cost, which Ben mentioned earlier in the call. Gross profit for the Black Oil division was $2.86 million for the quarter, a 60% increase over last year’s Q1 gross profit of approximately $1.79 million. Gross profit as a percentage of revenue was 11.7% versus 7.4% for the first quarter of last year. TCEP had a gross profit of $2.7 million in Q1 2012, a nearly 80% increase over last year’s first quarter gross margin of approximately $1.5 million. TCEP’s gross profit as a percentage of revenue was 17.8% for this most recent quarter, versus 9.4% during the same quarter a year ago. The Refining & Marketing division generated gross profit of $608,000 for the quarter, a 44% decrease compared to Q1 2012’s gross profit of $1.09 million. As discussed earlier this decline is primarily attributed to lower volumes, resulting from the operational turn around that sit place at two of our key suppliers during the first quarter. SG&A, selling, general and administrative expenses increased in Q1 2013 relative to the first quarter last year as we have significantly increased our staff from 12 to 102 employees, as a result of our acquisition. Our first quarter SG&A expense was $2.26 million versus $1.19 million for Q1 2012. On a go forward basis we anticipate SG&A being higher than in previous years because the additional scale of the company, following the acquisition and we’re actively working on reducing our SG&A expenses. It is our belief that improved gross margins associated with the benefit of collecting our own used oil for processing will more than offset the increased SG&A associated with these collection efforts as we move forward. Net income, we had net income of roughly $1.08 million or $0.05 per fully diluted share in the first quarter of this year. This was a 31% decrease compared to 2012's Q1 net income of roughly $1.57 million, which represented a per fully diluted share figure of $0.10. Overall, the decrease in year-over-year net income was a result of increased SG&A that more than offset our increased gross profit. I would now like to turn the call back over to Ben Cowart, our CEO.
Benjamin P. Cowart: Thank you, Chris. As we look ahead to the rest of this year, I want to share some of our thoughts of what transpired in the first quarter and where we see the business heading for the rest of the year. We are now seeing the benefits of our acquisition play out in the form of our margins. We increased both our Black Oil division gross margins and our TCEP gross margin substantially relative to last year as we continue to grow our ability to collect our own used oil for processing, we expect these margins to improve. We've taken steps to drop down our SG&A costs as evidenced by the fact that our Q1 2013 SG&A expense was 9% lower than our SG&A in the fourth quarter of 2012. We did underperform in our Refining and Marketing division relative to the first quarter of last year due largely to the planned operational turnarounds at two of our key suppliers. We believe that this area of our business will return to more historical levels now that the turnarounds are complete. Probably it’s still early we know that new process improvement recently implemented our TCEP facility in Baytown will begin to show results in the second quarter. Our intent is to improve both operating efficiency and product quality through this change in our process. We see three areas of growth in the near-term for our business and could play out during the remainder of 2013. One is the improved performance via our process changes in Baytown at the TCEP facility. Number two is, continued development of our used oil to fuel opportunities as the market conditions have changed for the used oil outlets and what needs to happen with used oil, we feel like the company has positioned very well to continue our used oil with fuel strategy as we move ahead. Number three is, acquisitions that we continue to pursue so we are very active [retinal] and discussions with multiple targets that will improve our supply into our Baytown facility as well as other opportunities, so that we believe are very strategic for the company. Before we move on to our question-and-answer portion of this call, I want to let the listeners know that if you have any follow-up questions or comments, please feel free to contact our Porter, LeVay & Rose Investor Relations representative, Marlon Nurse, at 212-564-4700. I also wanted to mention that a digital replay will be available by telephone approximately two hours after the call's completion for the next two weeks. Details on how to access the replay can be found in our recent press releases. Operator, we're now ready to take a limited number of questions pertaining to the matters discussed on this call and our 10-Q. Remember we're unable to discuss any information or business plans, which are not publicly available. Thank you.
Operator: Thank you. (Operator Instructions) Our first question comes from the line of Joe Fadgen with Craig Hallum. Please proceed with your questions.
Joseph Fadgen – Craig-Hallum Capital Group: Yeah guys I’m here for Chad today. Few questions, one it looks like the company-wide product volume sold seem to decelerate a little bit in Q1 from fiscal 2012. I mean was that, due to changes in the market, was that more of a kind of company specific thing, can you give a little bit of color around kind of what drove that?
Ben Cowart: Yeah I think it’s largely Joe related to the sales volume from our Refining and Marketing division for the first quarter, these were, we have several large suppliers that we buy raw material from that goes through a process there in Port Arthur. And so our volumes were down about 15%. So when those down volumes are added to our Black Oil volumes, then it kind of volumes are down a little bit. But we were 20% volume growth on the Black Oil side of the business. So we are still trending into 20s as far as our year-over-year growth rate, which personally I think is very noteworthy considering our capacity at the refining operation is some has been incrementally improved to this point. So we continue to again ground the raw material. And a lot of that is actually going in and out of our Black Oil division today, that margins are incremental almost volumes today. But we fully plan to monetize those volumes as we go forward. So I think we’re making good ground and things are better than what they appear on a consolidated basis.
Joseph Fadgen – Craig-Hallum Capital Group: Okay great. Then the TCEP expansion, I mean is that, I guess how close to being done? How much additional CapEx do you have yet to pour into that, basically how much is left on that?
Ben Cowart: Yeah, I'm not sure what's going on land on the balance sheet for the second quarter, but we are in start-up, we are in test phase today, so the units are running, everything is working and started-up on schedule and we're very pleased with the preliminary results that we're seeing from the unit start-up. So that's good to report that we are up and running. We hope to have everything [Dalmian] and fully functioning by the end of the month in the May maybe a little bit into June. But we’ll be well on our way by the end of second quarter with those improvements. So we don't see a lot of money left to spend, like I said in our last call, we carried a lot of expenses related to this expansion last quarter and quarter before that, so not a lot left ahead of this.
Joseph Fadgen – Craig-Hallum Capital Group: Okay, great. And then a couple of questions on the queue. One it looks like year-over-year there have been some pretty significant changes in customer concentration, can you give me some color on kind of what's driving that shift? I mean I understand that you probably don't want to give who the customers are, but kind of why one is becoming much more significant than another...
Matthew Lieb: Good question. A lot of that is due to the acquisition now that we've brought in these other entities we’ve got little more diverse base of customers. In addition, we had some minor changes in some of our, where our TCEP product goes so that has changed the mix a little bit quarter-over-quarter when you look at 2012 versus 2013.
Ben Cowart: Yeah we make our update contracts or decisions very specific to individual companies. We like to have all the products own and accounted for, so that someone is obligated to lift our finished product on schedule so the plant don’t backup. And we moved from one buyer to other buyer and I think we were actually doing some business with that, that new buyer prior to moving our TCEP product into that company as well. So it’s really based on getting the best market, best price for our finished product and having a ratable outlet with commitments that TCEP product moved out of our way. So the four years we’ve been producing TCEP we’ve never been at a contract for – off-take of the finished product which is very important to us. And that’s probably what you see.
Joseph Fadgen – Craig-Hallum Capital Group: Okay. And then one last one, I should go. Looks like you also drew some additional funds on the line of credit real quick, can you tell me what the funds were used for?
Chris Carlson: The funds are, with our line of credit, we strictly use those funds for inventory and just day-to-day operations. So in the first quarter with the Refining and Marketing Division slowing down somewhat operationally, we did draw into the line a little bit more recently as we’re building inventory to get ready for runs.
Joseph Fadgen – Craig-Hallum Capital Group: Okay. All right. Really appreciate it guys. That's all from me. Thanks.
Ben Cowart: Thank you.
Operator: Our next question comes from the line of Philip Shen with Roth Capital Partners. Please proceed with your question.
Philip Shen – Roth Capital Partners, LLC: Good morning guys.
Ben Cowart: Good morning, Phil.
Matthew Lieb: Good morning. 
Philip Shen – Roth Capital Partners, LLC: First question here is on the TCEP facility, I know you guys are bringing the units online and making some nice improvements there and you showed a nice margin in your TCEP facility at 17.8% in Q1 and this is likely before a lot of these process improvements are put in place. As the units come online where can we see gross margins go for the TCEP facility?
Ben Cowart: Well, I think we're early in the game to try to draw that picture forecasted. I will say this that as we prepare to start a unit there's a lot of de-bottlenecking in the existing process that I’ve done in the fourth quarter. And we've actually had even prior to the unit starting up, we had – I guess a record February and March production historically from those two months. So we’ve seen some of that benefit. We obviously will be seeing more to come, but to try to put a number out here today on this call, I think would be not to think we need to do, but we like those margins that you see there and very comfortable with them, we believe we can improve as we go.
Philip Shen – Roth Capital Partners, LLC: Great. And you talked about acquisitions in your prepared remarks, as you increased your collection volumes via acquisition, I expect you might display some of your aggregated Black Oil with the new collected oil, given that and what would you do with the extra aggregated oil assuming the TCEP facility input volumes are matched out?
Ben Cowart: We’ve set an internal, I guess goal and target that we’re not going to back our third party suppliers out, we’re going to increase and expand our throughput, our foot print at the facility to accommodate new volumes like we’ve seen in the February, March. So we believe that as we grow our street collections through acquisition and organic growth that we’re going to accommodate that with new throughput at our TCEP facility. That still have a lot of questions for us, so obviously a fall back position is to back some of the third party all out, and we just, I guess optimistic to believe that we can continue the business that we have and grow our street collections and our throughput capacity in parallel.
Philip Shen – Roth Capital Partners, LLC: Great. One quick house keeping question, I’ll jump back in queue. I think Chris talked about SG&A increasing potentially going forward, although you has definitely making our first decreased (inaudible), so it sounds like a – well I’m guess my question is, as we go through the year how do you expect, what would you expect SG&A to be per quarter should be kind of think about in our model this $2.3 million level or would you definitely expect that to go up and if so by how much more could you go up?
Ben Cowart: I'll let Chris answer that one.
Chris Carlson: Yeah, good question. $2.3 million to $2.4 million is where we expect it to be quarter-over-quarter going forward. As noted Ben and I and the rest of the team are looking at areas of improvements for SG&A for the rest of the year, but again $2.3 million to $2.4 million is a good number to look at.
Ben Cowart: And a counter balance to that and we kind of plug that into our models, right now is the acquisition effort, so obviously we are going to be deploying more SG&A cost into the growth of the business, so there’s going to be some trade-offs as we go out and turnover lot of opportunities to expand the business, where this bandwidth required, travel all other expenses that goes into growth and specifically acquire another company.
Philip Shen – Roth Capital Partners, LLC: Great, thanks very much.
Ben Cowart: Okay.
Operator: Our next question comes from the line of [Brian Uhlmer] with Global Hunter. Please proceed with your question.
Unidentified Analyst: Good morning Ben and Chris.
Ben Cowart: Good morning.
Chris Carlson: Good morning.
Unidentified Analyst: So I assume its 100% but I'll ask what percentage of the TCEP nameplate capacity have you guys pretty much seen this first quarter? And then also if you could maybe just briefly speak on traditional margins kind of seeing within the Black Oil compared to the market-making activities as opposed to pushing it through TCEP.
Ben Cowart: Well, nameplate will go there first, the original nameplate of the commercial engineered design of the facility was 45,000 barrels a month. We started that late 2009, so really 2010 was our first full year and we struggled to hit those capacities in 2010. We’ve been working internally with our engineering group and our operations in our site to find ways to debottleneck the process which they’ve done. For 2011/2012, we actually have averaged around 53,000 and 54,000 barrels of monthly production or throughput at the facilities. So with the new expansion, we are still waiting to see where this is going to take us. So that’s a real key number and when we bring that number out because we really develop a lot of confidence around that capacity. I will say that February and March throughput capacity, February was 57,000 barrels and March was 65,000 barrels. So we are pretty excited about that because that does represent a significant change in our overall throughput capacity for the plant. Hope I had answered the question. The margins are still be undeveloped, obviously a big part of the margin is what we pay for feedstock. Our operating cost for the first quarter are down I wouldn’t say significantly but they’ve improved quite a bit and the OpEx and cost per barrel to run the product, and the higher throughputs play a part of that. But the real key is how we bottle all material for the plant and what margin we can capture on the purchase of that raw material and while we believe that collecting a portion of our feedstock going into the TCEP plant at lower cost is very important to the overall game plan for the company. And so with the acquisition in September, we got our collection business in the public company, and we’re seeing significant margin enhancements, 80% improvements year-over-year, marginally due to the lower cost feedstock coming in. Now, when we measure our street collection volume, we are organically up with one, I’d say organically we had one tuck-in acquisition at the end of the year, and today we’re probably 5% improvement overall, year-over-year in street volume. One thing that the market and the investment communities understand is, we’re working in a space at a street level, where the volume is shrinking significantly. So our same-store volume year-over-year from our current customers was down probably 10%, possibly 15%. And so we’re making a lot of headway through our sales efforts and just in our market space year-over-year to be up 5% and the markets being doing 10%, 15%. So we’re pleased with the effort at a street level. Now that’s not come without costs so our cost at the street level to grow at that pace is we’re up $0.09 a gallon year-over-year in [payroll] at street. And so our – that’s about 8% increase in cost. Our sale price overall because the market declines and the index just commodity prices are down about 10%. So we've got work to do in restoring the spread at the street level, at collection level, but even with that in mind it’s still much lower cost in our feedstock and that's part of the improvements that we see in the TCEP. So we are very diligent on driving those pay for all spreads back into proper order and when you are dealing with thousands of generators, it takes more time to do that versus our third-party purchases to go into TCEP. This is a good opportunity to – I guess put a much higher value I think then the market gives our third party business. The third party oil in comparison we've actually improved our margins by 3% year-over-year. So as demand on the used oil the street side has pulled back, it’s allowed us to pull back on our purchase prices from the third-party market and capture more margin on that front in the short term. So that give us the time to chip away and pull our street pricing back as well. So we have all of that being said, we're seeing that 80% margin improvement year-over-year at TCEP because of the merger, because of our ability to source raw material at lower cost. That’s exactly what we intended to do by acquiring and bringing these business units. So have we hit our normal production and targets on the Refining and Marketing business, we would be way ahead or significantly ahead of our overall gross margin targets for the company. So looking at the effectiveness of the merger and the margin enhancements that we anticipated, we're very pleased with the results that we got. 
Unidentified Analyst: Very good, thank you.
Operator: It seems there are no further questions at this time. I would like to turn the floor back over for any additional comments. And I do apologize; we do have one more question here.
Ben Cowart: Okay.
Operator: The question comes from the line of Chris Doucet with Doucet Asset Management. Please proceed with your question.
Chris Doucet – Doucet Asset Management LLC: Hey guys. Good morning. Thanks for taking my call.
Ben Cowart: Thank you. Good morning.
Chris Doucet – Doucet Asset Management LLC: Congratulations on the improvement over the last couple of quarters by the way in the operations. Chris, I guess this first question is for you, can you tell me how much in CapEx the company spent for the TCEP expansion in the first quarter?
Chris Carlson: Yeah, the recent TCEP expansion was about $1.3 million over the last three or four months.
Chris Doucet – Doucet Asset Management LLC: Really that much, okay. And can you get, go ahead.
Chris Carlson: Let me comment real quick on that, because it comes back to some of the expenses that we seen in the fourth quarter and another reason that our SG&A is back in land we’ve improved by 9% quarter-over-quarter is obviously as I alluded to last call. We did a lot of the work internally. So a lot of our labor costs, pipe fitting, electrical, lot of the contract work out there, we actually internalize and shouldered in an expense category. So as I've talked about expanding TCEP in that improvements continue to in recent months as the name of presentations as always been a $3 million type of CapEx project. So first be where we are with the $1.3 million balance sheet entry on CapEx for the six pensioners noteworthy, I just want to make sure that you see there’s more to it than just the money that – its a balance sheet.
Chris Doucet – Doucet Asset Management LLC: Exactly. And Chris you are expensing all these items, you’re not capitalizing any of these, is that correct?
Ben Cowart: No the majority of that $1.3 billion is capitalized, or will be in the second quarter.
Chris Doucet – Doucet Asset Management LLC: Okay. And when will you realize the full benefits of the TCEP expansion in Q3? Do you think?
Ben Cowart: Yeah I think so, I think Q3 is a fair window to really see those improvements underway. We are working hard to bring that through by the – towards the end of this second quarter, but optimistically, that’s our goal. I would not have a expectation of those improvements to materialize until the third quarter.
Chris Doucet – Doucet Asset Management LLC: And Chris this question is for you I guess. You’ve seen or investors have seen improvements in gross margins in the fourth quarter over the third quarter, and of course the first quarter over the fourth quarter, do you expect this trend to continue in the second and again in the third quarter?
Chris Carlson: Yes. I mean especially in the second as Ben mentioned earlier and we’ve talked a little bit better our Refining and Marketing division being somewhat down that’s going to normalize again, you hear in the second quarter and going forward, so we would expect to see some improvement there.
Chris Doucet – Doucet Asset Management LLC: And can you give us a range of what you expect gross margins to be in the second and may be the third quarter?
Chris Carlson: I don’t want to comment at the moment just because we’ve got a lot of moving parts especially with the enhancements with TCEP.
Ben Cowart: And oil price.
Chris Carlson: Yeah and oil prices, but overall, we’re confident that we’re going to see improvement.
Chris Doucet – Doucet Asset Management LLC: Okay. And Ben, you mentioned in your opening comments about the desire to acquire collectors, clearly we haven't seen any prints but you’ve required collectors, but how much of your efforts are go to trying to acquire collectors and what are the possibilities of us perhaps seeing an acquisition of the collector in the second quarter?
Ben Cowart: I would say unlikely in the second quarter, as it relates to our time and effort in the market talking to different targets and developing relationships and bringing some things to the table. We’ve been very active in the first quarter, we spent lot of our time personally, have spent lot of my time strategically looking at the business, looking at the markets and looking potential targets. They really play into where we're at and where we’re trying to go. We've identified three expansion models that we're pursuing in parallel, one obviously is to building supply at a street level to the assets in Baytown so that's more of a local outreach to the collection markets and even organic growth so we’re moving alone something markets organically that we anticipate gain in (inaudible). The second is additional markets where we can take our model and replant in another part of the U.S. that’s unreserved our – what I would consider unaddressed market. We're looking at those opportunities. And thirdly, we believe there is some diversification opportunities around our core competency in other hydrocarbon recovery opportunities. So and I don’t want to go too far down that path because we’re really just in an exploration stage at this point, but one of the things that we want to do, is we did a very diversified hydrocarbon recovery business. We don’t want to be stuck strictly in a used motor oil recycling business. And obviously our Port Arthur business is an example of diversification and how that benefits the business. So we’re looking at three different areas of growth where we’re developing a funding model to support those acquisitions. We are bringing in some consultancy and to help us architect our funding plan and how these three areas will have to meet certain criteria in order to be funding and for us to move forward. So we met a lot of headway, we got a lot of planning already behind us and we’ve made a lot of contacts in the market to stimulate these opportunities as we go forward.
Chris Doucet – Doucet Asset Management LLC: Okay very good. You mentioned in the last couple of calls your desire to have an additional TCEP facility. Have you guys decided on the location and the timing of a new location?
Ben Cowart: We’ve not made a decision on a location specifically, nor the timing of that. We have been working on our engineering for that plant and we have several locations under review that we’re doing due diligence on. And each of those locations would have a difference timeline. So as soon as we can settle in on that next location, then we can bring it to our investors and start talking about it.
Chris Doucet – Doucet Asset Management LLC: All right. Thanks guys. Congratulations on the progress and I’ll step back in the queue.
Chris Carlson: Thank you, Chris.
Ben Cowart: Thank you.
Operator: As it seems there are no further questions in the queue at this time. Do you have any additional comments?
Ben Cowart: No thank you operator. And thank you everyone, specifically for the questions and also your interest in Vertex Energy. We look forward to updating you on developments with the company as they unfold and we anticipate you join this, we appreciate you joining us on the call today. Thank you.